Operator: Good day, ladies and gentlemen, and welcome to Universal Display Corporation's Fourth Quarter and Full Year 2024 Earnings Conference Call. My name is Sherry and I will be your conference moderator for today's call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Darice Liu, Senior Director of Investor Relations. Please proceed.
Darice Liu: Thank you. Good afternoon, everyone. Welcome to Universal Display's fourth quarter earnings conference call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Brian Millard, Chief Financial Officer and Treasurer. Before Steve begins, let me remind you that today's call is a property of Universal Display. Any redistribution, retransmission, or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, February 20th, 2025. During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties and our actual results may differ materially. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now, I'd like to turn the call over to Steve Abramson.
Steve Abramson: Thanks, Darice, and welcome to everyone on today's call. As we look back on 2024, we are pleased to report record revenues and record earnings. Revenue was $648 million, operating income was $239 million and net income was $222 million or $4.65 per diluted share. Brian will take you through the details momentarily. 2024 was a solid growth year for us. We cultivated our global partnerships, which included new long-term multiyear agreements with Visionox, strengthened our leadership position in the OLED ecosystem, and made significant advancements in our operational, strategic and R&D roadmaps. Amid a dynamic market landscape, shifting consumer demands and a rapidly evolving global economy, we continue to execute and embrace the opportunities that drive our innovation, growth, and industry-leading position. Since the inception of our company 30 years ago, we've been at the forefront of the OLED industry. Innovation is the foundation of everything we do. It drives us to push the boundaries of what is possible and to continuously explore new and better ways to solve the challenges of today and tomorrow. Our steadfast commitment to innovate and forge new paths has enabled us to stay ahead of the curve and anticipate the needs of the growing OLED market. We repeatedly traverse the complex path from idea to lab, lab to fab, and fab to high volume commercial production. Leveraging three decades of pioneering know-how and trade secrets, our team of scientists, engineers, and technicians are continuously inventing, developing, and delivering next-generation phosphorescent reds, greens, yellows, and hosts to meet the evolving needs of our customers, the display industry, and the consumer electronics market. Regarding blue, we believe we are closer than ever and that the commercialization of phosphorescent blue will represent a significant leap forward in OLED technology. We understand the excitement as well as the expectations surrounding it. I want to reassure you that we are on the right path. We are confident in our ability to deliver. The journey has been challenging as all trailblazing breakthroughs are, and our teams continue to work tirelessly. While not yet at the finish line, we are excited about the strides we are making and continue to believe that the additional time needed to introduce a commercial phosphorescent blue into the market will be measured in months and not years. Once commercialized, we believe that our phosphorescent blue can increase the energy efficiency of an OLED display by up to 25%. As consumer products continue to evolve with advanced features such as connectivity and artificial intelligence, we believe that panel makers and OEMs can leverage the increased efficiency in various ways, such as adding more functionality and performance to a device without sacrificing battery life. Phosphorescent blue is slated to be a game changer for the industry, for consumers, and for us. Looking to 2025 and beyond, we are excited about the opportunities ahead. OLEDs are continuing to proliferate across the consumer electronics landscape for smartphones, IT and automotive, to TVs and more. According to Omdia Research, OLED market growth is expected to rise substantially over the next five years. After reaching more than 50% of the smartphone market in 2024, OLED smartphone displays are expected to grow from 784 million units to 952 million units in 2029. OLED IT displays are expected to nearly quadruple from 20.2 million units in 2024 to 77.6 million units in 2029. The OLED monitor market, though still its early stages, already counts gamers among its earliest adopters due to OLED 's fast response times, high refresh rates, and superior image quality. Units are forecasted to more than double from 2 million units in 2024 to 5.1 million units in 2029. The automotive market holds immense potential as carmakers are starting to turn to OLEDs for both interior and exterior applications driven by demand for enhanced aesthetics, functionality and safety. The flexibility of OLED allows for curved, thin, and lightweight form factors. Additionally, with the shift toward EVs, the adoption of energy efficient OLED panels aligns perfectly with EV's low power consumption needs. OLED automotive displays are expected to approximately quadruple from 2.6 million units in 2024 to 10.6 million units in 2029. And don't forget the exterior, where OLEDs are making their way into automotive lighting, including taillights and turn signals. And on the large panel front, OLED TVs are forecasted to grow from 6.8 million units in 2024 to 7.9 million units in 2029. We believe that the continued proliferation of OLEDs especially in the nascent medium sized market is driving a new multiyear CapEx cycle. We continue to estimate that year-end 2025 installed OLED capacity as measured in square meters will increase by approximately 10% over year-end 2023. This forecast include initial equipment installs from Samsung's $3 billion investment and the first phase of BOE's $9 billion investment for the respective new Gen 8.6 fabs. Looking beyond this year, additional investments in new OLED capacity are expected with Phase 2 of BOE's Gen 8.6 fab, Visionox's new $7.7 billion facility and expected projects that are still in the works. As of today, approximately 20 billion has been committed to building new Gen 8.6 OLED capacity. A new and exciting OLED fab investment cycle has begun and we believe it will fuel the next leg of the growth for the industry and for us. Before I hand the call over to Brian, I'd like to go over the next phase for OVJP technology. In December, we announced the appointment of Global Technology Veteran, Chandran Nair, the CEO of our new Singaporean subsidiary, Universal Vapor Jet Corporation, which encompasses OVJP. While we continue to believe that OVJP could be a cutting-edge technology for large area display manufacturing, all the investments are expected to center on the medium area IT market for the next few years. As a result, Chandran and his team are exploring new market verticals where our dry vapor jet printing technology may be an enabling platform. On that note, let me turn the call over to Brian.
Brian Millard: Thank you, Steve. I'm pleased to report that 2024 was a record breaking year of exceptional financial performance. We achieved 12% year-over-year growth, achieving an all-time high of $648 million in revenue. By segment, material sales were $365 million. Royalty and license revenues were $267 million and Adesis' revenues were $15 million. Our 2024 revenues included a cumulative catch-up adjustment of $11 million consistent with 2023. 2024 total gross margins were 77% for the year, flat from 2023. 2024 operating expenses were $260 million compared to $224 million in 2023. The fourth quarter of 2024 included $8.9 million of restructuring costs related to the planned closure of the OVJP California location and related reorganization that impacted EPS by $0.15. Our 2024 operating income was $239 million which translates into operating margins of 37%. 2024 net income was $222 million or $4.65 per diluted share. In 2024, we recorded $7.2 million of foreign currency exchange losses related to a tax receivable denominated in Korean won that impacted EPS by $0.12. This Korean FX loss and OVJP restructuring charges resulted in a combined $0.27 reduction in full year 2024 EPS. We ended the year with $928 million in cash, cash equivalents and investments. Moving on to our fourth quarter results. Revenue for the fourth quarter of 2024 was $162 million up 3% from $158 million in the fourth quarter of 2023. Fourth quarter 2024 and 2023 revenue included a cumulative catch-up adjustment of $5 million. Material sales were $93 million in the quarter compared to $82 million in the fourth quarter of 2023. Green emitter sales, which include our yellow-green emitters were $67 million in the fourth quarter of 2024, which compares to $63 million in the fourth quarter of 2023. Red emitter sales were $25 million which compares to $18 million in the fourth quarter of 2023. As we've discussed in the past, material buying patterns can vary quarter-to-quarter. Fourth quarter royalty and license fees were $64 million compared to the prior year's period of $73 million. Adesis' revenue for the fourth quarter of 2024 was $4.6 million compared to $3.2 million in the fourth quarter of 2023. Fourth quarter cost of sales was $37 million translating into total gross margins of 77%. This compares to $36 million and total gross margins of 77% in the fourth quarter of 2023. Fourth quarter operating expenses, excluding cost of sales were $72 million. This compares to $58 million in the fourth quarter of 2023. Operating income was $52 million in the fourth quarter of 2024, translating into operating margin of 32%. This compares to the prior year period of $65 million and operating margin of 41%. Due to the previously mentioned OVJP restructuring costs, fourth quarter 2024 operating margins were negatively impacted by approximately five percentage points. The fourth quarter 2024 income tax rate was 17%. Net income for the fourth quarter was $46 million or $0.96 per diluted share. This compares to the fourth quarter of 2023 is $62 million or $1.29 per diluted share. The OVJP restructuring charges and Korean FX loss resulted in a combined $0.26 reduction to Q4 EPS. Now turning to our 2025 outlook. We expect our 2025 revenues to be in the range of $640 million to $700 million. We estimate that our 2025 ratio of materials to royalty and licensing revenues will be in the ballpark of 1.4:1. Total gross margins are expected to be approximately in the range of 76% to 77%. Operating expenses are expected to grow at a low-single-digit percentage rate year-over-year with R&D expected to remain flat, while SG&A expenses are expected to increase 10% to 15%. 2025 operating margins are expected to be in the range of 35% to 40%. We expect the effective tax rate for 2025 to be approximately 19%. And lastly, we are pleased to announce that the Board of Directors has approved an increase to our quarterly cash dividend. A dividend payment of $0.45 per share will be paid on March 31st, 2025, to stockholders of record as of the close of business on March 17th, 2025. The dividend increase reflects the confidence in our robust future growth opportunities, expected continued positive cash flow generation and commitment to return capital to our shareholders. With that, I'll turn the call back to Steve.
Steve Abramson: Thanks, Brian. At UDC, we pride ourselves on pushing boundaries, exploring new frontiers and delivering solutions that redefine what's possible. As we look forward to 2025 and beyond, the road ahead is filled with immense opportunity. Across the OLED industry, product road maps are broadening, and leading display makers are investing in new fabs to meet the growing OLED demand, especially in the medium-sized panel market. Coming years are poised to bring meaningful new OLED capacity, new OLED products and new OLED adoptees. As a pioneer leader in the ecosystem, we are well positioned to continue supporting our customers and enabling the industry's demand for higher performance and increased functionality and consumer products with our broadening portfolio of energy-efficient, high-performing phosphorescent materials and OLED technologies. I would like to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Display's accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. And with that, operator, let's start the Q&A.
Operator: Thank you, Mr. Abramson. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Brian Lee with Goldman Sachs. Please proceed.
Brian Lee: Hey, everyone. Good afternoon. Thanks for taking the questions. I wanted to start off with blue because I know blue is obviously a key focus. And as you said, Steve, at the onset of the call, it's getting closer than ever. You had originally updated the blue timeline in the language months, not years, I think on the August call, we're sitting here now in late February, it's still months, not years. I mean if we kind of dial back to when you first started using that terminology, it would presumably mean months, not years is before the end of calendar 2025. Are you willing to commit to that type of finite a timeline or are you starting the clock over here in February months, not years where months from here could actually be early '26.
Brian Millard: Hey, Brian. Yes, so back in August, as you said, when we, on our Q2 call, did announce that we thought it was going to be months, not years. That was months not years of a delay beyond 2024. So we previously said we expected in 2024 to have commercial performance of our blue material. So we're now here in February. So we think this is kind of month two, so to speak, off of that time line. As Steve said in his remarks, we continue to be very pleased with the progress that we're making and continue to believe that we're on the right path, just need more time to work internally as well as with our customers to bring it to commercialization.
Brian Lee: Okay. Fair enough. We'll keep tracking the progress on that. I guess, question for you, Brian, maybe just on kind of the modeling for this year. I appreciate all the movie pieces, always helpful to get all those line items. Last year was kind of one of the more linear revenue growth years we've seen from you guys. There was not a lot of seasonality from first half to second half. Honestly like all the quarters were somewhat in the same revenue ballpark. As we think about your $640 million to $700 million revenue guidance for the full year '25 like is seasonality coming back to a more normal cadence in '25 as we think about first half, second half trends, Q1 being kind of low point for the year or are there reasons, drivers, product cycles, et cetera, that you have visibility into that would suggest '25 looks, again, like '24?
Brian Millard: Yes. It's a good question. As you said, we typically have had second half orientation to our revenues and our plan for this year does have second half being stronger than first half. At the same time, I think there's just a number of different macro uncertainties this year that may cause that to shift. But based on the plan we have, as of now, it does look like second half is stronger.
Brian Lee: Okay. Great. And then last one and I'll pass it on. I think last quarter you guys had mentioned a little bit of inventory, I believe it was related to China. I don't know if that was LG China or just other China manufacturers. Can you kind of update us on what you see out there in terms of inventory status? Is that all clear into the early part of '25? Are you seeing any drag from that at the start of the year? Thank you guys.
Brian Millard: Yes. The comment that we made back on the Q3 call about inventory was that we had anticipated that Q4 was going to be not as strong as it ended up being. We thought our customers may bring some of their inventory levels down heading into the end of the year. I think as of now we've seen fairly normal inventory levels. We haven't seen anything out of the ordinary one direction or another at this point.
Brian Lee: Okay. Thank you.
Brian Millard: Thanks, Brian.
Operator: Our next question is from Scott Searle with ROTH Capital Partners. Please proceed.
Scott Searle: Hey, good afternoon. Thanks for taking the questions. Nice job to end with record results. Steve, in terms of looking at your customers, I guess, following up on Brian's question, it doesn't sound like there's a tremendous amount of inventory that's out there with those customers. I'm wondering if you could elaborate on that a little bit looking through the geographic mix, it doesn't seem like there were any major prebuys or otherwise ahead of potential tariffs. So I'm wondering if you could just clarify that the sequential progression that you would expect from December into March for materials? And how the geopolitical situation particularly from a tariff standpoint is expected to impact you guys in '25?
Brian Millard: Yes. So on inventory, Scott, as I said, we had expected Q4 was going to be a bit lighter than it ended up being because we had expected inventory drawdown heading into the end of the year. As of now, we've seen fairly normal inventory patterns normal buying patterns from our customers. As I said, though, there is a lot of uncertainty this year in terms of macro factors and how that might weigh in tariffs being one of them. And as it relates to tariffs, I mean, we have been in the business for three decades. Have been doing global trade for that period of time and are experienced in how to successfully navigate and deal with it. But we're not immune from it either. So it's something that we plan for, both in terms of how we source materials in our supply chain as well as our own manufacturing footprint. Having Shannon in our footprint is certainly beneficial from a global trade perspective. So it's something that we're planning for and monitoring, but that's about as much as we can share at this point.
Scott Searle: Got you. That's helpful. And maybe to follow up in terms of the '25 guidance of $640 million to $700 million. I'm wondering if you could articulate the swing factors at the low end of the range to the higher end of the range. I know it's only middle of February at this point in time. But also with blue is including that, I think your past policy has not been to include it in your assumptions. I'm just kind of wondering it's the curveball patterns all of that side?
Brian Millard: Yes. So on the factors for the range, we certainly have a base case that's within the range and upside and downside opportunities off of that just based on really consumer demand as well as development work at our customers and how that might fluctuate both on red, green and blue. As it relates to blue, we do have blue in our revenue guidance, but it's not projecting significant growth off of this year because we do anticipate it's really going to be a development quantity this year, which development quantities a little bit can go a long way as it relates to development. It also tends to be fairly variable quarter-to-quarter in terms of development quantities that our customers need to advance their blue work.
Scott Searle: Okay. Lastly, if I could, just from a capacity addition standpoint, I think you said 10% by the end of '25 versus the end of '23, but there are quite a large number of fabs that are expected to ramp into production, I think, in the second half of '26. I know you probably won't get out ahead of your skis in terms of providing projections to '26, but at this point in time, would you expect to see an inflection in terms of the growth beyond double-digits or beyond 10% as we get into '26 from a capacity standpoint? Thanks.
Brian Millard: Yes. I think as you said, we're not in a position right now to give '26 guidance other than to say, certainly, these new fabs that are being constructed at Samsung, BOE and Visionox are all positive signs for the years ahead, especially as it relates to the OLED IT market.
Scott Searle: Great. Thank you.
Brian Millard: Thanks, Scott.
Operator: Our next question is from Mehdi Hosseini with SIG. Please proceed.
Mehdi Hosseini: Yes. Thanks for taking my question. A couple of follow-ups for me. On the blue topic, can you help me understand the depth and diversity of the customers that are evaluating? Is that just limited to your largest customer or various customers from different regions are actually evaluating the blue?
Brian Millard: Hi, Mehdi. So we're working with multiple customers across multiple regions on blue. So it's about as much as I can share at this point.
Mehdi Hosseini: Sure, sure. And just to -- for us to better understand the milestones and the thought process, when you say you are months away from commercialization, not years, is that across the board or is there any customer that is ahead of others?
Brian Millard: We can't speak to our customers' progress other than to say the months not years is UDC achieving a commercial design win of blue of our blue material with a customer.
Mehdi Hosseini: Okay. And then the last one for me on actually sticking with the blue topic. Was there -- is there any way you can help me understand the R&D revenue associated with blue that you are able to generate. I'm assuming that you're still able to generate a little bit of revenue from the host. So if I just take your material revenue, the rest outside of emitter, how much of R&D blue is included?
Brian Millard: So we had $4.6 million of blue sales in 2024 and that was a combination of emitter and host revenues, the majority being emitters, but we have been selling host in development quantity as well.
Mehdi Hosseini: Got it. Thank you.
Brian Millard: Thanks.
Operator: Our next question is from James Ricchiuti with Needham and Company. Please proceed.
James Ricchiuti: Hi, thanks. Don't know if you're going to be in a position to answer this either, but just with respect to the time line for blue, can you say whether you are in discussions regarding a blue license agreement with your largest customer or do you just anticipate this occurring once you have a commercial design win to talk about?
Brian Millard: Yes. I can't talk about the status of any negotiations other than to say we're always talking to our customers about a lot of different things on blue and other red and green as well.
James Ricchiuti: Okay. Brian, just with respect to the '25 guidance, is there any unusual variations in pricing for your materials versus 2024 or is this the guide mainly just a function of the weak uncertain consumer electronics outlook or maybe a combination of both?
Brian Millard: Yes. There's not a significant price pressure. Our customer contracts, we don't really have any new agreement, new significant agreements that are up this year. And we do have -- so there's not significant ASP pressure in 2025. It tends to be more the latter being just general demand environment and what that might look like that might drive the higher the low end.
James Ricchiuti: Got it. Thank you.
Operator: Our next question is from Krish Sankar with Cowen. Please proceed.
Steven Chin: Hi. Thanks for taking my questions. This is Steven calling on behalf of Krish. First one, if I could, on sort of the smartphone end market. Thanks for some of the color earlier in the prepared remarks about, I guess, the estimated number of smartphones to use OLED displays in the coming years. Just kind of curious for those targets that you mentioned, where you said market projections, do you anticipate sort of a linear progression in terms of the rising penetration rates or might there be -- might that be a bit more weighted towards the outer later parts of that forecast period, just given some of the market share dynamics between mid-tier and entry tier smartphones in the market?
Brian Millard: Yes. I think it's hard to predict the exact slope of the curve or linearity of it other than to say OLED smartphones right now greater than 50% penetrated. In our IR deck, we do have a deck that projects some data from Omdia of what they're saying some of the penetration rates might be over the next few years. So that's a guidepost that we look to regularly in terms of the progress. But certainly all the premium smartphones today are OLEDs, many of the mid-tier and we're seeing even some of the low-end smartphones adopted OLED display. So there's opportunity across all segments of the smartphone market and we expect OLEDs to continue to gain further adoption in that market.
Steven Chin: Got it. Thanks. And quick follow-up on operating expenses. So Brian you mentioned that SG&A would be up this year. Kind of curious like what are some of the drivers for that? And I guess looking a little further out, is that dynamic going to sort of refer back to a more normalized like both R&D and SG&A growing kind of in tandem going forward after that?
Brian Millard: Yes. This is, I think, a little bit of a onetime step up, so to speak. I mean we have a very lean organization. We've always operated that way. We will continue to do that, but there are certain areas that we want to put additional resource behind to make sure we're prepared for the growth in the next few years, as well as to some degree as well, we're looking at our local support in Asia for our customers and making sure that we're supporting them as much as we can locally. So there's some element of SG&A that's going to that effort.
Steven Chin: Got it. If I could squeeze one more in also about sort of operating costs. Just with the OVJP operations restructuring and movement of the good portion of the operations to Singapore. I was curious like are you able to quantify what that cost savings is by moving operations to Singapore compared to in California? And any thoughts on sort of like timeline to mature revenues from a strategic standpoint for that business? Thanks.
Brian Millard: Yes. So it is a net savings, the move from California to Singapore. And that's part of the reason why our R&D expense is projected to be flat in 2025 off of '24 is because of the fact that there are some savings due to winding up the California location. In terms of revenues for OVJP and UVJC, which is our Singapore subsidiary, too early to really put any e-poster other than to say we're very happy to have Chandran and the new leadership on board there and feel very optimistic about their prospects going forward.
Steven Chin: Okay, great. Thank you.
Brian Millard: Thanks.
Operator: [Operator Instructions] Our next question is from Martin Yang with Oppenheimer & Company. Please proceed.
Martin Yang: Hi. Thank you for taking my question. A quick follow-up on the previous speaker regarding OpEx. Is there any other cuts or incremental savings on R&D other than OVJP for 2025?
Brian Millard: No. OVJP, Martin, stands out as the significant area that we're -- just I think it's really just a pivot and kind of realignment of our efforts there. And we're setting up a team in Singapore. It's going to be a smaller team than what we had in California. And that's really the big area that's have changed in '25.
Martin Yang: Thanks, Brian. My next question is around this year's guidance. How much of your outlook regarding new installed capacity by the end of '25. How much of that is a factor in your guidance more specifically in your annual revenue growth?
Brian Millard: A relatively small piece of it relates to some of these new fabs coming online and some of the material that may be needed for that. I mean it's not a significant component of the growth in '25 off of '24.
Martin Yang: Got it. Thank you. My last question is just to confirm your comment on blue. So when you initially said the blue's delay is in months, not years, essentially that clock start ticking in your original intention to start taking from the beginning of '25 or end of '24?
Brian Millard: That's right. So we -- when back in August when we said we thought it was going to be a delay of months or not years, that delay was beyond 2024. So kind of started a month ago, so to speak. So this is -- it was really, as you recall, our prior expectation and communication had been that we thought in '24, we would have commercial performance of blue. And this now is really months, not years beyond '24.
Martin Yang: Thank you, Brian. That's it for me.
Brian Millard: Thanks.
Operator: Our final question is from Atif Malik with Citi. Please proceed.
Atif Malik: Hi. Thank you for taking my questions. Brian, your materials sales, they grew like 14% last year and you're seeing maybe a 4% type growth this year, some marked deceleration. Can you just help us out, how did the market do last year, the OLED materials market last year? And what are your expectations for the market this year?
Brian Millard: Yes. So we are projecting slower growth in '25. '23 was also a down year. So it's a little bit of a -- the reason why the growth rate in '24 was as high as it was also coming off of a fairly lower base in 2023. And I think if you look at the industry growth rate and what capacity demand is this year 5% to 6% thereabouts is kind of what a lot of the analysts that follow the industry are projecting in terms of square area growth. And if you look at our business historically because of customer efficiencies as well as volume price dynamics and otherwise, our growth rates have typically been just shy of the overall industry growth for those reasons. And so we think our guidance range is fairly in line with what the industry is projecting.
Atif Malik: Got it. And on the blue emitter, is your understanding that you guys are going to be sole sourced on that or there is competition that's also competing for blue?
Brian Millard: We believe that all paths to high efficiency blue go through our materials. And so that's our position. We don't believe there's anything competitive to us.
Atif Malik: Great. And then lastly, the China semiconductor market, they're doubling down on materials on the semiconductor side. And the question comes up with investors in terms of what you're seeing in terms of competition from local China material suppliers on these emitter materials. Can you update us what do you see there?
Brian Millard: Yes, it is -- certainly the Chinese market has been one where there are a number of local players on the material side that have come up in the last few years. And it's something we monitor very closely. Many of them are focused on areas of the OLED stack that are not competitive to us. There are some that are trying to compete in our space. We continue to believe that due to our longstanding customer relationships, the quality of our materials, our vast patent portfolio that we will continue to be the leader for the foreseeable future in this space.
Atif Malik: Great. Thanks.
Brian Millard: Thanks, Atif.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Brian Miller for any additional or closing remarks.
Brian Millard: Thank you for your time today. We appreciate your interest and support.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.